Operator: Good day, ladies and gentlemen. Welcome to the Q2 2016 Investor Call. I would now like to turn the meeting over to Ms. Aurora Davidson. Please go ahead, Ms. Davidson.
Aurora Davidson: Thank you. Good morning, ladies and gentlemen and welcome to the Q2 2016 investor conference call of Amerigo Resources Ltd. on Thursday, August 11, 2016. I am Aurora Davidson, the company’s Executive Vice President and Chief Financial Officer. Before we begin our presentation, let me caution you that our comments and discussions will include forward-looking information within the meaning of applicable securities legislation. Such forward-looking information will include, among other things, forecasts and projections of our copper production for 2016, which involves known and unknown risks, uncertainties and other factors that may cause the actual results, performance or achievements to be materially different from such forecasts and projections. Therefore, although we believe that the anticipated future results, performance or achievements expressed or implied by the forward-looking information are based on reasonable assumptions and expectations, you should not place undue reliance on such forward-looking information. You should review our press release issued on August 8, 2016, and our other documents filed with the securities authorities in Canada, including our annual information form under the heading Description of the Business Risk Factors. These documents describe the material factors and assumptions that were applied in drawing the conclusions and making the forecasts and projections as reflected in the forward-looking information and the material factors that could cause our actual results, performance or achievements to differ materially. Except as required by law, we undertake no obligation to update or revise any forward-looking information made in this presentation. Now, I would like to introduce the company’s President and Chief Executive Officer, Rob Henderson.
Rob Henderson: Thank you, Aurora and thank you for everyone joining the call. For the second quarter of 2016, the company posted revenue of $19.3 million and a net loss of $3.6 million. The group’s recorded copper price for the quarter was $2.10 per pound and that compared to $2.65 per pound in Q2 last year and we continue to be negatively impacted by the low copper prices. MVC are continuing to improve on all aspects under their control. And for the quarter, MVC produced a record 14.4 million pounds of copper at a cash cost of $1.65 per pound. The Cauquenes deposits, is performing very well and is meeting all the expectations. MVC produced 8.2 million pounds of copper from the historic Cauquenes deposits, 5.6 million pounds of copper from the fresh tailings and 0.5 million pounds from Maricunga. The ramp up in copper production is expected to continue to improve over the next two quarters as the quality of the Cauquenes material improves a bit. So, in Q3 and Q4, MVC is targeting production of 16 million pounds per quarter at a cash cost of approximately $1.55 a pound. Consequently, our guidance for the year of 2016 has maintained for MVC to deliver 55 million to 60 million pounds of copper at an annual cash cost of $1.65 to $1.85 per pound of copper. What we have seen in the last quarter is that the molybdenum content in the Cauquenes tailings is approximately double that from previous years. And in addition this year, the moly prices have increased from a low of $5 per pound to the current price of around $7, but consequently, MVC will be starting up their moly plant again in Q3 and we expect to be producing moly this year. Negotiations on the Codelco royalty are still in progress. We believe that our royalty rates, is excessive under the current low copper price environment and is not sustainable. El Teniente received $5 million of royalties from MVC in Q2, whilst MVC incurred a loss. Our partner, El Teniente, has been supportive and they deferred royalties for four months, March to June, when talks were scheduled to be complete. Unfortunately, there were several management changes at Codelco, and El Teniente did not succeed in obtaining support from their head office for a revised royalty formula. Codelco, as we well know, operates very slowly. We had several meetings with senior Codelco management in July and we believe that we do have some progress now and we are expecting a new proposal from El Teniente this month. However, this may still take some time to be ratified by the head office. Our key objective this year is to complete the Cauquenes ramp up program and to ensure MVC’s liquidity. We have made a substantial investment into MVC. And I believe that we are now well positioned to take advantage of future increases in copper price. I will now hand over to Aurora to discuss the financials for Q2.
Aurora Davidson: Thank you, Rob. Our results in Q2 continue to be very positive in terms of production and costs. MVC reached record production of 14.4 million pounds of copper and cash cost was $1.55 per pound, the lowest cash cost posted by the company since 2009. This milestone is as a result of the successful development of Phase 1 of the Cauquenes project at MVC. Similar to the prior reported quarter, the price of copper continued at low levels with an average LME copper price of $2.15 per pound and a realized copper price of $2.10 per pound at MVC, with production priced on an M+3 basis. This is a significant drop from the $2.65 per pound price which we realized in the comparative period of Q2 2015. The lower copper prices continued to stress financial results and the company posted a net loss of $3.6 million in Q2, down from a loss of $4.4 million in Q1 2016. Our full cost structure per pound of copper includes cash cost of $1.65, $0.09 for sustaining CapEx, $0.25 for debt service and approximately $0.36 for current DET royalties, royalties to El Teniente. Discussions with El Teniente, as Rob mentioned already, are ongoing in respect of royalties at low copper prices. In Q2 2016, MVC made the scheduled first semiannual repayment of the bank loan taken to finance the Phase 1 of the Cauquenes project in the amount of $5.4 million. MVC also repaid $5.3 million that remained outstanding of the $9 million value added tax loan which was also undertaken for the Cauquenes expansion. The company’s ending cash position after debt repayments was strong at $9 million. The next financing milestone for MVC is on December 30, when a second semiannual payment also $5.4 million is expected to take place. At current copper prices, the company does not anticipate any problem in making this payment. That is the extent of my comments. And we now welcome questions from the call participants.
Operator: Thank you, Ms. Davidson. [Operator Instructions] The first question is from Joseph Reagor of Newport Beach. You may proceed, sir.
Joseph Reagor: Good morning, everyone and thanks for taking the questions. I guess, Rob first, on your end, moly production, turning the circuit back on, any guidance you can give us as to rest of the year, what you might get there as number of pounds?
Rob Henderson: Good morning, Joe. Thanks for the question. Yes, we are going to be starting to ramp up the plant slowly. The annual run-rates we expect from Cauquenes is in the order of 1.4 million pounds a year. We hope to be in full production in Q4 at that run-rate and – but the cash costs that we expect from moly is in the order of $5 to $6 per pound. So, it’s not a material increase in revenue. So, we are talking about $1 million or $2 million per year additional revenue at today’s moly price. So, it’s interesting, but it’s not a material event for us.
Joseph Reagor: Okay, that’s helpful. At least, they have kind of a guideline ratio. Second thing, revenue reconciling the price you guys say as your realized price, I think it was $2.10 in the quarter, but delivered pounds, was like 14.5 million and revenue was like $28 million and change on a gross basis. That works out to like a $1.95, $1.96 just back of the envelope. What’s the discrepancy there on the gross revenue side? All the netting works out fine, but just that on the gross side, it seems like the pricing isn’t matching up. Last quarter, the discrepancy was like $0.03 or $0.04, this time it’s a little bit more.
Aurora Davidson: The discrepancy on the basis that we are getting paid on price is on an M+3 basis. So, essentially, our – we have an ongoing factoring of settlement adjustments for prior quarter provisional price reductions that gets settled in respect of this quarter. And so for example, Q1 production was priced at provisional March prices, that effectively became realized in April, May, and June and those prices were lower than the original provisional price.
Joseph Reagor: Okay, that color is helpful. I will turn it over.
Rob Henderson: Thanks, Joe.
Operator: Thank you. [Operator Instructions] The next question is from John Polcari of New York. You may proceed.
John Polcari: Thank you. Good morning. Couple of issues or questions here on the moly, how much CapEx would be required to get it up and running?
Rob Henderson: Hi, John. Yes, thanks for the question. Very minimal, really. It’s essentially we mothballed the plant last year and we are essentially just going to be starting it up again. So, it’s just a matter of refurbishing the plant. So, it’s really minimal CapEx. We are not doing any major changes to the plant. We are running it much per as we were before.
John Polcari: But I assume you must have some confidence in at least a minimum price of $5 in order – before you made the decision to restart, right?
Rob Henderson: Yes. We haven’t hedged any prices, but we have seen the moly price go up pretty steadily over the course of this year, so we are hoping that it’s going to stay up there. If it does go back down again, then we will just have to mothball the plant again, so….
John Polcari: Okay. And that’s not a major financial consideration I guess mothballing it, right? It’s not...
Rob Henderson: No, it’s not. It really isn’t. So, we can turn that on and off relatively easily.
John Polcari: And then not to overly focus on the moly, it’s not a big piece, but here you said the recovery rates were double historic rates from which mine?
Rob Henderson: So, what we are seeing is the Cauquenes deposit has a lot more moly in it than Colihues ever had. So previously, when we are running at 700,000 pounds a year of moly, we are now targeting approximately double that, so 1.4 million pounds a year of moly. Thanks to the higher grades in Cauquenes.
John Polcari: Great. And on the copper side, would you envision if, in fact, the royalty payments were ever adjusted, they would move through some kind of a floating regimen – or regime or just a lower fixed rate or do you have a preference or – I mean, I know you can’t discuss the negotiations, but...
Rob Henderson: Yes, we don’t really have to preference how it’s structured as long as they come down from current levels. We had gone down the road quite a bit with El Teniente on just revising the values in the formula that we currently have.
John Polcari: Right.
Rob Henderson: But that hit roadblocks at the head office and now we are looking at an alternative proposal, which we have yet to see. So, we will wait and see. But I think there is certainly understanding from El Teniente and Codelco that the current formula is not sustainable and it needs to change.
John Polcari: So, there might be a little room for negotiation as opposed to just hitting a dead end?
Rob Henderson: Yes, correct.
John Polcari: Okay. As it exists today, with the royalty where it is today and the costs where they are today all-in, what are we looking at about a $2.25 copper price to generate breakeven?
Aurora Davidson: $2.35.
John Polcari: $2.35?
Aurora Davidson: Yes and I am including sustaining CapEx and debt servicing there.
John Polcari: Okay, alright. So, that’s everything, that’s the kitchen sink.
Rob Henderson: Yes, debt service at $0.25, that’s probably the biggest traditional one.
John Polcari: Right. The payments on the debt service are semiannual for 6 years, is that correct?
Aurora Davidson: That is correct.
John Polcari: And what is – just to refresh, I don’t have the financials in front of me. What’s the rate again or is it the float?
Aurora Davidson: We have 75% of the facilities fixed and we have 25% of the facilities floating. And I will just confirm the rates for you, it’s currently 5.81%.
John Polcari: Blended or is that the fixed piece or...
Aurora Davidson: That is the floating one. The fixed piece is a little bit higher than that, about 6.5%.
John Polcari: Okay, alright. I think that was it. Thank you. And I commend you on the job you have done under the circumstances and this current commodity price levels.
Rob Henderson: Thank you, John.
Operator: Thank you. There are no further questions registered at this time. I would now like to turn the meeting back over to Ms. Davidson. You may proceed.
Aurora Davidson: Thank you. Thank you for participating in the call and thank you for your questions. We look forward to our next conference call three months from now. Thank you.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time. Thank you for your participation.